Operator: Good afternoon and welcome to the Lyft's Third Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode to prevent any background noise. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Sonya Banerjee, Head of Investor Relations. You may begin.
Sonya Banerjee: Thank you. Welcome to the Lyft earnings call for the quarter ended September 30, 2021. Joining me today to discuss Lyft's results and key business initiatives are our Co-Founder and CEO, Logan Green; Co-Founder and President, John Zimmer; and Chief Financial Officer, Brian Roberts. A recording of this conference call will be available on our Investor Relations website at investor.lyft.com shortly after this call has ended. I'd like to take this opportunity to remind you that during the call, we will be making forward-looking statements. This includes statements relating to the expected impact of the continuing COVID-19 pandemic, the performance of our business, future financial results and guidance, strategy, long-term growth and overall future prospects. We will also make statements regarding regulatory matters. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those projected or implied during this call, in particular, those described in our risk factors included in our Form 10-Q for the second quarter of 2021 filed on August 5, 2021, and our Form 10-Q for the third quarter of 2021 that will be filed by November 9, 2021, as well as the current uncertainty and unpredictability in our business, the markets and economy. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of the date hereof, and Lyft disclaims any obligation to update any forward-looking statements, except as required by law. Our discussion today will include non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. Information regarding our non-GAAP financial results, including a reconciliation of our historical GAAP to non-GAAP results, may be found in our earnings release, which was furnished with our Form 8-K filed today with the SEC and may also be found on our Investor Relations website. I would now like to turn the conference call over to Lyft's Co-Founder and Chief Executive Officer, Logan Green. Logan?
Logan Green: Thanks, Sonya. Good afternoon everyone, and thank you for joining our call. We had a great Q3. We beat our outlook on every metric, and reported a second consecutive quarter of adjusted EBITDA profitability. Demand remained strong and received a material improvement in drivers so far. We are now positioned for continued recovery and we're excited about the solid foundation we've built to continue to scale our business. Let me turn to a few highlights for the quarter. Revenue increased by 73% year-over-year and was better than our outlook. Active Riders grew by nearly $2 million versus Q2 as more riders returned and resumed prior use cases and new riders started using Lyft. Although recovery trends still vary regionally, it's clear that local riders are on the move. During each month of the quarter we saw the new pandemic [ph] revenue from rideshare rides. Nights out [ph] and weekend use cases picked up and airport rides nearly tripled year-over-year in Q3. In addition, we saw strong demand for bikes and scooters with bike rides hitting an all time high in the quarter. Citi Bike in New York is just one example of the exclusive content are made available to Lyft and in Q3 Citi Bike rides made up 40% of our total ride volume in the region. It is strategically valuable as we look to deliver increasing value to this installed base. Switching gears, driver supplies materially improved and retention has been strong. In Q3 Active Drivers increased by roughly 45% from the past year. New driver growth was robust up 60% year-over-year. Keep in mind in September the enhanced federal unemployment benefits sunset and with the highest level of new driver activations since COVID began just to be clear, the number of drivers matters, but so is the number of rides they give in an hour. And we've found the drivers have been giving more rides versus 2019 for some time. In fact, in Q3 drivers gave 20% more rides on hours than they did in Q3 2019 on account of innovations in our marketplace engine and higher earnings. When drivers are busy, they can optimize our hourly earnings and support more rider demand. This is good for drivers, riders and our business. We do all this against the backdrop of consistently tightening major markets. The unemployment rate reached a multi-decade low just before the pandemic hit. Driver earning requirements vary a lot from city to city. Ultimately the playing field is level. Our competitors have to navigate the same factors. As a marketplace, when conditions change, our pricing adjusts automatically and dynamically as an offset. We've seen this dynamic play out this year. We've demonstrated improving leverage even while driver earnings have remained elevated, and I'm confident in our ability to build on the momentum in our business. Turning to Q4, early trends have been positive. October happens to be the strongest month in the fourth quarter for rideshare rides due to seasonality. Brian will talk more about this, but people are typically more movable in the summer and less in winter or around holidays. This is especially the case with bikes and scooters. Looking further ahead, although the pandemic continues to create operating uncertainties, we are optimistic that the recovery will continue and drive additional rideshare and use cases as well as fuel its growth. John will provide key business updates, but before he does I'll turn the call over to Brian to review our financial performance.
Brian Roberts: Thanks Logan. Good afternoon everyone. Before I walk through the numbers, let me start with an update on supply. As Logan shared, we are extremely pleased with the significant impacts and results of our Q3 supply investments. We entered the quarter determined to improve service levels given growing demand trends. In Q3 known [ph] driver activations increased 34% quarter-over-quarter and jumped over 100% versus the number of activations in the first quarter of this year. The growth in new drivers contributed to strength in active drivers which increased nearly 20% quarter-over-quarter. In this improving supply position hopefully volume growth that enabled us to outperform our financial outlook, we delivered 73% year-over-year revenue growth and on a quarter-over-quarter basis we nearly tripled adjusted EBITDA to $67 million. We also achieved record contribution margin and revenue per Active Rider. And keep in mind that we generated these results despite the impact of COVID variants which delayed the return to office for many companies. Before I move on, I want to note that unless otherwise indicated, all income statement measures are non-GAAP and excludes stock-based compensation and other select items as detailed in our press release. A reconciliation of historical GAAP to non-GAAP results is available on our Investor Relations website and may be found in our earnings release, which is furnished with our Form 8-K filed today with the SEC. Let's move to the details. Q3 had strong unit growth. Despite increasing COVID case counts, the sequential growth of Q3 rideshare ride volume accelerated and jumped by over 80% relative to the Q2 growth rate. This is fueled by broad sequential strength across cities. In terms of specifics, 99 of our top 100 cites generated positive sequential rideshare ride growth in Q3. New Orleans was the sole outlier given Hurricane Ida. Additionally, average daily rideshare ride volume increased each month in Q3.  Beyond rides we saw healthy growth in unique riders. In Q3 the number of Active Riders increased by 51% year-over-year and 11% quarter-over-quarter to $18.9 million. New rider activations increased by 47% year-over-year. Revenue per Active Rider increased by 14% year-over-year to an all-time record of $45.63. Revenue per Active Rider benefited from a 6% sequential increase in ride frequency, which we partially attributed to improving service levels. The combination of these trends led to a $99 million sequential increase in third quarter revenues of $864 million which was above our revenue outlook of $850 million to $860 million. It is worth noting that bikes and scooters provided roughly $10 million of the $99 million increase given their seasonal strength. For the second quarter in a row we achieved a new record contribution margin level. Contribution margin in the third quarter was 59.4% which exceeded our outlook of 58.5% to 59% representing nearly 10 percentage point increase from Q3 of 2020. The outperformance of revenue and contribution margins relative to outlook helped our strong Q3 contribution of $514 million. For each dollar of incremental revenue growth versus Q2, contribution increased by over $0.60. As a reminder, contribution excludes changes to liabilities for insurance required by regulatory agencies attributable to historical periods. In the third quarter there was no adverse or positive development net of reinsurance recoverables. Let's move to operating expenses. Operations and support expense for Q3 was $103 million, a decrease of 12% year-over-year. Operations and support expense as a percentage of revenue was 12% in Q3, up slightly from 11.3% in Q2, which is primarily from bikes and scooter rental activity as well as growth in background checks related to driver onboarding. R&D expense in Q3 was $109 million, down approximately $20 million quarter-over-quarter resulting from the sale of our Level 5 self-driving division which closed in July. As a percentage of revenue R&D expense declined 12.7% in Q3, down from 26.2% in the year ago period. Q3 sales and marketing was $99 million. As a percentage of revenue sales and marketing was 11.5%, roughly flat from Q2 11.6%. Within sales and marketing, incentives were less than 2% of revenue. G&A expense in Q3 was $167 million, a decrease of 18% year-over-year. G&A expense as a percentage of revenue was 19.3%, a decrease of 70 basis points quarter-over-quarter. In terms of the bottom line, our Q3 adjusted EBITDA profit of $67 million was above our outlook of between $25 million and $35 million and nearly triple the $24 million achieved in Q2. It is worth noting that Q3 adjusted EBITDA included $18 million of benefits related to two items. First, we captured additional gains of $8 million related to Flexdrive selling vehicles. Second, we were able to settle a legal matter and released accrual that provided a combined $10 million benefit to G&A expense. Without these gains total $18 million our Q3 adjusted EBITDA profit was $49 million. Unrestricted cash, cash equivalents and short-term investments increased quarter-over-quarter to $2.4 billion. Before I move to our Q4 outlook, I want to remind investors that the pandemic is not yet over. Future conditions can change rapidly and may impact our outlook. With that, let me share what I can. In terms of supply, given our success in Q3, onboarding new drivers and expected tailwinds, we plan to taper supply investments in the fourth quarter. Of course when it's extra busy we will use dynamic pricing to fund extra incentives to help retain and attract additional drivers on to the platform. In terms of rides in October we achieved our sixth straight month of growth in average daily rideshare ride volume. As a reminder though, in North America rideshare faces seasonal headwinds in November and December given the impact of holiday demand in both 2019 and 2020, so pre-COVID as well as during COVID October was the peak month of the fourth quarter in terms of rideshare rides. We expect the same trend this year. Additionally there is a population of drivers who have not yet revealed their full range of pre-COVID activities. Moving to ride line increased over the summer. In Q3 we were still down about 35% from our peak. The reasons and circumstances vary. Some people are concerned about the most recent surge in case counts are awaiting for boosters. There are parents who are preventing certain activities until their kids are vaccinated. And remember those waiting for mask mandate setting in and first time it’s a combination of these factors. Secondly, with the summer rise in COVID case counts, many companies postponed return to office until Q1. This is especially true in a city like San Francisco and data point Q3 rideshare rides in San Francisco were down by more than 60% versus Q3 of 2019, meaning San Francisco quarterly rideshare rides were less than 40% recovered from two years ago. Given the delayed return to office and other contributing factors, the recovery is tied to additional ridesharing use cases is more likely a first half 2022 event, especially in Key West and City like San Francisco. We have typically this tailwind we're hoping on the volume next year. It is a matter of when, not if. For these reasons, year-over-year revenue growth for full year 2022 is expected to exceed the rate for 2021. So in terms of our outlook, we expect revenue in Q4 of between $930 and $940 million. This is implies growth of between 63% and 65% year-over-year versus the 73% achieved in Q3. This outlook includes the typical Q4 rideshare seasonality and the delayed reopening acceleration. In addition, remember that Q3 is also the seasonal peak for Micro-Mobility in North America. In the fourth quarter bike and scooter revenue is expected to decline by up to $20 million quarter-over-quarter which is included in our outlook. In terms of profitability, we expect Q4 contribution margins to be around 59% given the impact of seasonality among other factors. The midpoint of our outlook for revenue and contribution margin implies with the all time record for the contribution including the level in Q4 2019. We continue to expect a contribution of per ride basis with be greater post-COVID than it was pre-COVID. In terms of bottom line we expect our Q4 adjusted EBITDA will be between $70 million and $75 million versus the $49 million in Q3 and adjusted to exclude the $18 million of benefits. Similar to revenue, we face seasonal pressures in Q4 and for that matter in Q1 as well that can pressure EBITDA trends. In 2019 so pre-COVID our adjusted EBITDA loss increased between Q3 and Q4. Last year we undertook layoffs in Q4 that obscured the typical trend. So the fact that expect to increase adjusted EBITDA profitability sequentially in Q4 despite the headwinds speaks to the improvements we've made to our cost structure. The Q4 outlook implies adjusted EBITDA margins of approximately 8%. This compared to 7.8% in Q3 or 5.7% without the $18 million of benefits. Separately, based on our momentum, we continue to expect that Lyft will achieve adjusted EBITDA profitability on our full year basis in 2021 which is an important milestone. In fact, year-to-date through Q3, Lyft has already generated cumulative positive adjusted EBITDA of nearly $20 million. The midpoint of our outlook comprised annual 2021 adjusted EBITDA of approximately $90 million which represents an improvement of roughly $880 [ph] million year-over-year. So let me close. Through the inception we've overcome a number of formidable challenges by remaining resilient and focused on our execution and strategy. The pandemic is no exception. Over the past 18 months we have transformed our operating model, achieved adjusted EBITDA profitability ahead of expectations, and are now demonstrating improving leverage. Looking forward as we emerge from the pandemic, we expect to be a stronger company with greater leverage. We plan on building a significantly larger business as we attack the massive market opportunity ahead of us. We see exciting opportunities to lean into growth, to deliver solutions that serve and expand our addressable market. At the same time given our growing scale, expecting tailwinds from the recovery, we are positioned to unlock natural business leverage. So we are expect that we can fund these growth opportunities even as we generate improvements to overall profitability. So, with that, let me turn it over to John, to provide key updates on the business and our strategy.
John Zimmer: Thanks, Brian. I'm excited about the momentum in our business and by the significant market opportunity ahead. Near term we're focused on navigating and strengthening through the recovery. This includes relentlessly advancing our technology to optimize our real-time market balance, which makes our network even better for drivers and riders. On the driver’s side, we are continuing to dive deep on innovation that delivers the best possible user experience. As one example, we've been having been testing a new app interface that gives drivers more granular visibility into our market conditions before they start driving. The early results have been fantastic. We saw a roughly 25% increase in the number of times drivers engaged with our app and an almost 5% increase in the number of hours they drove. Likewise, incremental refinements to our prime-time dynamic pricing technology can support a higher ride volume, improve pickup times, and increase driver pay, all at the same time. We will continue our diligent focus on this work, since these types of enhancements can result in higher driver engagements and retention, better marketplace dynamics, and ultimately tens of millions of dollars in leverage, every year. On the rider’s side, we scaled new modes that give our riders more options while also providing valuable benefits to our real-time marketplace. A rider your mode like Wait and Save, that allows riders to wait a little longer for a pick up and pay a little less versus the classic ride is one example. It delivered the most value to riders by giving them the ability to prioritize what's most important to them at the moment, price or time. The mode also helps distribute demand in a way that allows us to optimize driver utilization and more usage of our network. And less expensive options like bikes and scooters along with different use cases such as with Lyft Rentals, further help us to maximize the overall usage of Lyft's transportation network. These advancements and services add value today and help us prepare the infrastructure for the future, as we deliver more and more transportation value to consumers. They also built on our core competencies and deepen our competitive differentiation. The Lyft network is the product of nearly a decade of engineering investments and we are perpetually achieving new levels of efficiency and functionalities with a focus on transportation. The tremendous value of our specific approach will become increasingly more apparent over the next few years. As we look forward, we continue to see a very long runway to both our riders and capture more of their individual spend on transportation. Our work in addressing the trillion-dollar transportation market opportunity is just getting started and the critical profitability and product milestones we've hit this year set us up well for the quarters and years ahead. Every year in the U.S., around 4 million people turned 18 and become eligible to use Lyft on their own. These cohorts have digital first preferences, value green transportation options like bikes, scooters, and EV we can offer through express drive and have significant lifetime value. Our focus execution will allow us to establish Lyft as the go to transportation partner. To that end, we currently work directly with more than 150 university and college partners to develop transportation solutions for more than half a million students. Through these partnerships, students can get access to fully funded or discounted rides to arrive as well as for our bikes and scooters, potentially for the first time. For these riders, this can be a low-risk trial period you get to know Lyft. For us, it's an opportunity to cement our relationships with these riders become ingrained in their daily routines and grow with them overtime. Before we move to Q and A, let me give an update on the regulatory fronts in Massachusetts. The Coalition for Independent Work reached an important milestone in Q3 with the certification of its ballot initiative. It's worth noting that Massachusetts drivers overwhelmingly support the ballot measure by 7 to 1 margin because it allows them to keep their independence, while also securing historically benefits. We're now full steam ahead on both ballot and legislative solution and are highly optimistic we’ll be successful in establishing an independent, more benefits model for drivers. We're now ready to take questions.
Operator: [Operator instructions] For our first question we have, Doug Anmuth from JP Morgan. Doug your line is open.
Doug Anmuth: Great, thanks for taking the questions. Maybe first, just on driver supply. You talked about strong new driver trends and supply of 45% versus last year. So I mean, you're tapering the investments into 4Q, but can you kind of help frame what that means more and perhaps explain a little bit kind of around what percentage recovered you might be versus current rider demand, if there's any more color you can add there? And then secondly, just on city Citi Bike. If I heard you correctly, you talked -- I think you said 40% of rides in the New York region are related to Citi Bike, can you just talk about how that's kind of driving acquisition of customers between bike and core rideshare? And anything else you can add on just acquisition trends, characteristics of those users and what you see versus kind of regular Lyft users? Thanks.
Brian Roberts : Sure. Hey Doug, this is Brian. Let me start and then I'm going to hand off to John. Look, we definitely played offense in Q3 to invest and supply and improve service levels. And we're tapering because we see more drivers returning to the platform and as Logan pointed out, they're giving more rides. And there's three contributing factors: the sunsetting of enhanced federal unemployment benefits, it's this increase in productivity, and there's also a pool of potential drivers who are being cautious, so let me just touch on each of these. We believe the sunsetting of enhanced federal unemployment benefits is acting as a tailwind. It's too early to tell the long-term impact. But in September, driver activation, so these would be new drivers, jumped 17% month-over-month and grew further in October. And if you look at the full third quarter, driver activations, again, these would be new drivers, increased 60% year-over-year. And it's important to understand, and I feel at times, the market doesn't understand this. Last year, 85% of drivers drove less than 10 hours per week on our platform. The significant majority of drivers are using the Lyft platform for supplemental income. And so, if you're getting $300 per week from the federal government plus whatever the state added, it really eliminated the need for some folks to drive for supplemental income purposes. And again, the jump in new drivers after the enhanced benefits expired is really providing some organic tailwinds. Second, as Logan pointed out, productivity has increased on the platform. And so when analyzing supply, you don't have to look at just the number of new drivers, but it's also just understanding how many rides per driver. And we've seen the number of rides per driver increase versus pre-COVID. So as Logan mentioned, in Q3, the number of riders -- sorry, the number of rides per driver was more than 20% greater than Q3 of 2019. And then finally, there are some conscious people who have not yet resumed driving or apply to drive, and there's different reasons. Some have concerns about the most recent surge and have a preference to wait for boosters. There are parents who are waiting until their kids are vaccinated, and others just don't want to drive all day wearing a mask. And so, I think conditions are expected to improve over the coming months. And as this happens, we expect to see people shift from delivery to rideshare, where earnings tend to be higher based on historical studies.
John Zimmer: This is John. Before I touch on the Citi Bike question, just want to also zoom out on the question around drivers. One of the data points we look to was from the Bureau of Labor Statistics. And we looked at what you could call comparable kind of labor markets. And so we looked at the retail industry combined with the hospitality and leisure industry. And what we saw from January through September is that our Active Drivers grew at a pace 5 times faster than the recovery in the combined retail and hospitality sectors. And one of the main reasons I would say that is because of the flexibility provided by the platform in that you can turn on and off the app and an earnings whenever you want. As people come out of COVID, we feel strongly that the type of model we offer is one that workers want. Moving on to Citi Bike. You're right, the stat is that Citi Bike rides made up 40% of our total ride volume in New York. And as we've been saying for many quarters, the bikeshare acquisition we did a while back and the type of contractual long-term category exclusivity we get with a program like Citi Bike is strategically valuable. And kind of to drill into the question you asked around potential crossover, we see incredible crossover between rideshare and bikes. People, consumers, think of how much they spend on transportation. They think about their transportation options and compare them against each other and we're the only place you can do that with Citi Bike. Year-to-date, the number of rideshare riders that tried our bikes for the first time is up nearly 100% versus last year. And in New York, it's even higher, up nearly 150%.
Brian Roberts : I'm going to actually answer a question you didn't ask, but I'm going to preempt one that I expect just in terms of contra revenue related to some of the driver investments we made in Q3. So incentives classified as contra revenue increased on a quarter-over-quarter basis by $47 million. As we previously shared, to the extent the quarter was stronger than expected, we plan to reinvest more into supply to improve service levels, and we're pleased that we're able to do this and still exceed our outlook on revenue, contribution margin and adjusted EBITDA. It's also worth saying that we believe GAAP revenue, which is net of incentives, is the cleanest metric for investors. Contra revenue in isolation could be a red herring, especially if higher prices are funding the driver incentives. When it's extra busy and we need more drivers, we're focused on funding the required driver incentives from the elevated prices. So actual GAAP revenue, which, of course, is net of the incentives, is the clearest metric to measure the true impact of this relationship. We're going to continue to report the amount of contra revenue, but just realize we're not focused on it. We're focused on GAAP revenue and overall EBITDA. And just keep in mind too that the second quarter, not the third, was the peak quarter for contra revenue on a per-ride basis given volume growth in Q3. In general, again, we're feeling much better on supply. And looking forward, given the expected tailwinds and improving service levels, we plan to taper supply investments in Q4.
Doug Anmuth: Thank you, Brain.
Operator: For our next question, we have Eric Sheridan from Goldman Sachs. Eric, your line is open.
Eric Sheridan: Thank you so much for taking the questions and I hope all is well with the team. Brian, my first question, I wanted to follow up on what you just said there. As you think out to 2022 and you think about elements of pricing possibly normalizing and driver incentives also normalizing, but there being some inflationary elements around energy prices, how do you think about striking the right balance between incenting supply and drivers to be on the platform versus levels of driver earnings that drivers might have gotten used to during periods of supply-demand imbalance as we come out of the pandemic? I'm curious for -- just philosophically how you guys think about striking the right balance of supply and demand as we turn the calendar into 2022? And also on the consumer demand side, when you look at the gap between Active Riders getting back to pre-pandemic levels and you take the comments you guys had early on in the call about where there are pockets of Active Riders that have not come back, how much do you think that's just time versus elements where the company needs to lean in and maybe incent some of the demand or lean in on the incentive side to drive Active Rider growth as well? Thanks so much.
Brian Roberts: Sure. So look, we're confident that we have the right levers regardless of the pricing environment to drive strong business results. And longer term, as we fully emerge from the pandemic, we expect the prices to be lower and volumes obviously to be greater. I think it's worth repeating, rideshare rides in Q3 were still down more than 35% from the Q4 2019 peak. So as we recover, volume will definitely help us leverage fixed costs within cost of revenue, things like depreciation, and to a certain extent hosting. Also as we emerge from COVID, we expect ride frequency to increase, and this will help us unlock savings related to aggregated billing as an example. And then finally, we expect marketplace efficiencies will help us increase monetization, which should help contribution too. So in general, we continue to expect to exit the pandemic structurally more profitable per ride than we were going in. In terms of just the comments around Active Riders, I mean we've been very disciplined on sales and marketing. Sales and marketing as a percentage of revenue was below 15% for the sixth straight quarter and incentives classified as sales and marketing were just 1.9% of revenue, and we feel good about our competitive position. So I think, just maybe at the risk of repeating, our long-term strategy hasn't changed. We want to win on product innovation, on customer experience and brand preference, not coupons. And we believe that R&D investments can create competitive advantages and just have stronger ROI than coupons. So we expect that absolute sales and marketing will increase in future periods as revenue rebounds. We expect that sales and marketing expense as a percentage of revenue will likely be lower post COVID than it was pre-COVID. So for us, I think it's just a matter of time. And then just going back to something you heard, every single year there's 4 million new people who become of age to use ridesharing in the U.S. and that's just a constant inflow every single year. So again, there are structural growth trends here in terms of driving up that active riders.
Eric Sheridan: Thanks for the color, Brian.
Brian Roberts: Sure.
Operator: For the next question, we have Stephen Ju from Credit Suisse. Stephen, your line is open.
Stephen Ju: Okay, thank you so much. So Logan or John, knock on wood, mobility continues to improve and driver supplies continue to come back. And you have brought back, I believe, shared rides in certain cities. So can you talk about the rider uptick there and whether it's time to more widely roll that out across the country? And Brian, I think -- since the onset of the pandemic, I think it's done a lot to right size your cost base relative to the demand levels you were seeing at the time, particularly in ops and support. So do you think you have the resources in place to spool things back up as demand, the unit growth begin to normalize? Thank you.
Logan Green: Thanks. This is Logan. So we have -- as the pandemic sort of came into place, we sunset Shared rides and we launched Wait & Save, which is, in a lot of ways, fulfilled a similar market need. It's a slightly lower service level, where riders wait a few extra minutes to save a little bit on every ride. We did experiment with launching Shared in one market, in Philly. We have paused any further scaling up, sort of waiting on CDC guidance. So there's nothing further eminently planned on the Shared front. We will re-launch Shared eventually, but we don't have a date on that yet. And then I'll turn it over to Brian.
Brian Roberts: Yes. So on operations and support, this line can be volatile, especially in Q3 because it can be impacted by bike and scooter growth. Given Q4 seasonality for bikes and scooters, operations and support expense as a percentage of revenue should decline by about 100 basis points. So we feel good in terms of our ability to scale up there.
Stephen Ju: Thank you.
Operator: For the next question, we have Mark Mahaney from Evercore ISI. Mark, your line is open.
Mark Mahaney: I want to ask a high-level question about rider and driver incentives pre- and post COVID. And I'm wondering if -- and the impact on the financial miles, a simplistic question, but I think what we found is that there's -- the service really has compelling value proposition for a lot of riders and therefore, there's a lot of pricing power, so there's maybe less need for rider incentives. But there may have been some structural changes and I -- especially the rise of alternative driving opportunities, I'm talking about delivery for drivers such that you may see a structural increase in the need for driver subsidies. So could you just comment on that, whether that could be all neutral to the business model that maybe Lyft in the future is less driver and more -- less rider and more driver incentives just because of the change brought about by COVID, the pricing power that you've shown with riders and then just now you're having some more competitive environment with drivers? Thanks a lot.
Brian Roberts: Sure. So let me take the rider side first, and I'll transition to the driver side. And so just as a reminder, in the year before our IPO, sales and marketing was 37% of revenue. And at the time of the IPO, we said that long-term, we expected it between 10% and 15%, probably closer to 15% and we just reported a quarter with 11.5%. It was our sixth straight quarter, again, below 15%. So I think that's a pretty good validation. We would rather drive growth through innovation and taking care of riders better than the competition. So again, I think longer term, we expect that sales and marketing as a percentage of revenue will be lower than it was pre-COVID. And I agree with you, I think there is generally more pricing power than anyone ever realized existed in the industry. In terms of earnings for drivers, again, there's large buckets of -- if you look at a number of historical studies, rideshare tends to be king in terms of the many -- if you're looking at rideshare versus delivery, earnings tend to be higher because there's just -- there's more qualifications. You have to pass a background check to drive. You need a car that qualifies and so earnings tend to be higher. And so I think there are some reasons why there are some people being cautious right now. Earnings are elevated and yet there are people still on the sideline because they may have concerns about the recent surge, again they want their booster. Some have kids and they just don't want to be driving until their kids are vaccinated. And there are a lot of folks right now if -- for ridesharing you have to wear a mask. I mean that is a requirement. We're following CDC guidelines and for a lot of folks, I think they're waiting for that requirement to drop. And then I think we will expect more drivers coming in. So I think going back to what I just said earlier, I think we've done a pretty good job navigating high price, low price, different volumes, et cetera. We can really -- we have a lot of levers to manage this and manage growth in the P&L. So we feel very good about our position right now.
Mark Mahaney: Okay, thank you Brian.
Operator: With the next question, we have Alex Potter from Piper Sandler. Alex, your line is open.
Alex Potter: Great, thanks guys. Maybe another high-level question. As you're probably aware, right now it's pretty hard to buy a new car. It's pretty hard to buy a used car. Generally speaking, it's tough to buy any kind of car. So all else equal, that should benefit this sort of mobility model. I'm just wondering the extent to which you're trying to capitalize on this environment, whether you regard it as an opportunity to try to get consumers comfortable potentially with ditching that second car and embracing ride-hailing as a primary mode of transportation and any opportunities you have to do that? Thanks.
John Zimmer: Yes. I mean, I think it's a good pressure kind of counter to what everyone was asking like during the pandemic of, hey, is everyone going to go out and get a car now and so it provides kind of a backstop to that. We've spent multiple years on building out a fleet business and primarily, we've been focused on doing that for drivers, and now we see opportunities to do that for riders. So we've launched Lyft Rentals with first-party vehicles as well as third-party vehicles. So I think it just further supports having our broad and focused approach to transportation, where we can offer you a rideshare vehicle, we can offer you a rental and do that first party and provide the best experience, a bike and scooter, et cetera. And so yes, it's an opportunity when there are shifts in the market, when there are limitations in the market on vehicles. But again, we want to cover every aspect of transportation to increase the size of what someone spends on transportation with Lyft, but to reduce their overall spend on transportation. And that's something we've been consistent about. We stayed focused on in the pandemic and will continue to pay off.
Alex Potter: Okay, great. And then maybe one last quick one, just on electrification. Obviously, the Hertz and Tesla news has been topical recently, any additional comments on this strategy with regard to electrification would be helpful. Thanks.
John Zimmer: Sure. Well, I can say that, again, kind of similar to what I was saying, we spent a couple of years building out this part of our business, the fleet business. We have a unique asset through our ownership of Flexdrive, which is our independently managed subsidiary and this gives us a massive strategic advantage as we convert all vehicles on the platform to EVs. You brought up EVs. We're very excited about that transition. We were the first company, rideshare company to commit to having 100% electric vehicles by 2030. Seeing others follow suit is a good thing for the planet. But by having that ability to offer it from our providers gives us the ultimate control. We've actually had EVs available through Express Drive for multiple years and we feel great about leading that transition with Flexdrive and partners if needed.
Alex Potter: Great, nice quarter. Thanks guys.
John Zimmer: Thanks.
Operator: With the next question, we have Ed Yruma from KeyBanc. Ed, your line is open.
Ed Yruma: Thanks for taking the question. Really interesting to hear the strategic importance of the micro-mobility segment, particularly you guys calling out Citi Bike. I guess as you kind of look over the medium term, are there other municipalities that have open tenders that precipitate the growth? Can you get greater density in the municipalities that you're in? And I guess, just any update on kind of improvements you've made for the longevity of the devices given that I know people can be pretty tough on them? Thanks.
Logan Green: Yes. Thanks for the question. In terms of the markets, we have already a relationship in Chicago with Divvy, similar to what we do in New York City and Citi Bike. We have similarly in Boston, and we have in the Bay Area as well as a few others. So all the major cities, we feel quite good about. We are -- we have a majority share, and those relationships typically are exclusive. So we're really happy with that strategy and I'm happy to see it paying off. In terms of the actual devices, the fact that our largest market is New York and being built kind of like a tank those bikes for New York, think of all the weather changes in New York and the way and the streets and the way those bikes can be handled. So they've been battle tested. The great news is that we continue to take all the learnings from the bikes and scooters. And you look at a total cost of ownership model for our devices. So we look at not just what it takes to serve or what it costs to buy the bike, but we might actually invest a little bit more in the bike so that it delivers for longer. And our first kind of ground-up piece of hardware we launched, the Lyft E-bike, is showing massive advantages just in really early testing in terms of cost to deliver that ride per ride. We have a bigger battery. We look at all the repairs needed, and we can fix the parts or harden the parts so that they don't need repairs. So the team has done a phenomenal job, and we feel great about our strategic position as an exclusive provider in those key markets.
Logan Green: I also want to call out something we're doing with Lyft Pink, our membership program. We recently -- so in every market, we sell a local bikeshare membership program. It's typically done on an annual basis. And for the first time, we rolled that together into -- in addition to that, offering a national Lyft Pink membership that gets you unlimited access to our bike and scooter network. And we're seeing some great uptake from that program. It's just another example of how we can leverage the businesses together.
John Zimmer: And you can think about, as Logan was talking about, you could think about like the bikes in New York as our exclusive content, similar to a key show, Squid Games on Netflix. And so if you are in New York and you want to get transportation access through Pink or through any rideshare provider, but you use Citi Bike even occasionally, it's going to make sense for you to join with the Lyft membership because of your access to that exclusive content.
Ed Yruma: Got it and thanks for the explanation and for giving color on Pink.
Operator: For our next question, we have Deepak Mathivanan from Wolfe Research. Your line is open.
Deepak Mathivanan: Great, thanks for taking the questions. Brian, can you provide an update on where the right volumes on a unit basis are or is this 2019 levels currently? You know that some of the use cases are still lagging. Any update you can call out a few and how much they're lagging so we can think about the time line for recovery on some of those would be great. And then second question, can you talk about what you see in terms of market share trends currently? Do you think there's been any shifts or any change in your strategic approach to market share right now? Thank you.
Brian Roberts: Sure. So let me talk about use cases. I'll talk about Q4 rides, and then I'll talk about just sort of competitive trends. So in terms of use cases, look COVID is obviously still here. So it's difficult at this time to provide a precise view. I think, in general, looking at use cases, we expect all of them to return. We expect commute rides to strengthen as more companies return to the office. I'd say we're beginning to see an uptick in business travel, but it's early. And we expect that this will become more pronounced as more companies return to the office. One interesting data point is that airport rides reached 8.5% of total rideshare rides in Q3. And if you go back two years ago, airport rides were 9.1% of total rides in Q3 of 2019. So while leisure has been strong, we believe some of these airport rides is actually the beginning of corporate travel. Looking at Q4, what I can say is we've learned COVID can change quickly. So it's always important for me to start with that caveat. In terms of data points, as Logan mentioned, October was our best month, and last week was our best week since April 2020 for rideshare rides. We've talked through the seasonality. October is the peak month in Q4. In terms of some of these, as I shared, the summer rise in COVID case counts, many companies as a result postponed the return to the office until Q1. And this is pronounced in a city like San Francisco we explained. San Francisco is only 40% recovered. And so when you think about sort of our P&L and our financials right now, we're only 40% recovered. I'm willing to bet San Francisco will regain its former glory here. And so as we've mentioned, we do anticipate that this will be a tailwind to help drive volume next year. It's really a matter of when not if. And so if you missed it on our earlier comments, we do expect that for revenue growth for full year 2022 is actually expected to exceed the rate for 2021. In terms of our outlook for Q4, given the uncertainty with COVID, we see multiple ride growth scenarios. Our revenue outlook is not tied to a single scenario that we obviously expect rideshare rights to grow quarter-over-quarter. At the midpoint, our outlook implies revenue growth of 63% to 65% year-over-year. In terms of competitive trends, in general, we really have -- if you look at sort of pre-COVID versus where we are today, we haven't seen really any major share changes. We believe overall, there's strong demand, which is industry-wide. And I think in terms of Lyft-specific trends, we were really pleased to see the volume growth accelerate in Q3 versus Q2. As I mentioned, the sequential growth rate in terms of ride units increased 80%. The growth rate increased 80% relative to the Q2 sequential growth rate.
Deepak Mathivanan: Okay, thanks Brian.
Brian Roberts: Sure.
Operator: For our next question, we have John Blackledge from Cowen. John your line is open.
John Blackledge: Great, thank you. Two questions. First, on the driver supply, were there any geos where driver supply was at or above pre-COVID levels? And if so, were ride volumes into service levels better in those markets? And second question, the new rider activations number was really strong, just any particular cohorts or geos that drove the new rider activation? Thank you.
Brian Roberts: Yes. I would say, in general, we did -- we wanted to play offense in Q3. We've sort of beat the industry to profitability in Q2, which is a big milestone, and we decided we were going to actually play offense. So we're very pleased that we were able to invest. And I think you can see it in terms of the results in terms of our -- the supply position now going to Q4. I think, in general, if you look at third-party data, you can see that there were some states with sunset federal unemployment earlier. In general, supply came back sooner. Prices came down relatively more in those markets. I think that's probably early indications. But generally, I mean the market is pretty efficient. It will balance pretty quickly. So I think that's probably the most I can share in terms of -- it's all use cases are coming back. Everything what we refer to as party hours, which is sort of the late night rides, commute, off-peak airport rides, like we're seeing volume of all of those categories of rides increase.
John Blackledge: And on the rider activations, the...?
Brian Roberts: Yes?
John Blackledge: Yes.
Brian Roberts: Yes. No. Look, we were very happy in terms of -- on the rider activation. So again, in terms of -- for new riders, it jumped 8% quarter-over-quarter and up 47% year-over-year. I think as John points out, we do lean into university programs. And typically, these programs are either fully paid by the university or heavily discounted by university. So that's just a great way to habituate someone on the Lyft platform. So we love those new digital natives who are going all in on Lyft. But again, it goes to this notion that there's 4 million people who become of age to use ridesharing each year. And then the fact that we have bikes and scooters, to John's point, it's just another entry point into the Lyft ecosystem.
John Zimmer: And the other cohort, I'd just repeat that Brian brought up a couple of minutes ago, is just that return of the business user. And given he provided those numbers around airport travel, we're continuing to see that move in a nice direction, which is an important cohort as well. And we have the whole Lyft business team executing to bring in that segment.
Brian Roberts: And as John talked about business travel and airport ride, there's one thing that I think is worth clarifying for folks. We've seen a lot of reports and a lot of studies allegedly trying to figure out where prices are versus where they were. I just want to say, it's impossible to precisely calculate the magnitude of price changes since ride details can change. And what I mean by that is the average time and distance of rides can change, and the mix of cities and modes can also impact average prices. So for example, in Q3, they mentioned airport rides as a percentage of total rideshare rides continued to increase. Airport rides tend to be more expensive because they're longer. So clearly -- first, you have a shift in terms of these longer rides that are -- if you're looking at credit card data will be – look like higher price rise. Separately, as more people resume their normal lives, traffic is returning. So even if you take a ride that was the same exact length and you compare it to, say, January, that ride is going to be more expensive because it's a longer ride in terms of minutes, and minutes factor into prices. You have to remember, COVID artificially reduced traffic. And then for the folks who are trying to do comparisons versus 2 years ago, it's really important, and John touched on this, our lowest-price option, Shared rides, is back in only a single market, Philadelphia. Shared rides were only offered in bigger cities, which tend to be the same cities with these attempted pricing studies. And just as a useful data point in Q3 of 2019, Shared rides represented approximately 40% of rides in Miami and right now, it's 0 and so if you can imagine doing a weighted average calculation on average price, because of mix shift, that will look different.
John Blackledge: Thanks so much. That’s helpful.
Operator: For the next question, we have Itay Michaeli from Citi. Your line is open.
Itay Michaeli: Great, thanks everybody. Just two quick ones from me. First, maybe, Brian, can you comment on where your service levels are right now relative to internal targets? And then secondly, going back to electric vehicles and the target for 100% by 2030, how are you thinking about managing Lyft's asset intensity in the next several years in terms of how many EVs are you willing to have kind of owned fleet relative to partnering with third parties and remaining more asset-light?
Brian Roberts: Yes. So in terms of service levels, look, as I mentioned, we do expect, as we get more and more drivers back – again, there's definitely some. There's a group of cautious people who, again, do not want to be giving rides right now today are doing some more -- probably more on the delivery side. But again, looking at all the historical studies, rideshare, you tend to make more money versus delivery. So we do expect that we will see this influx of new drivers again. And I think that will continue to improve service levels. For us, there was a big focus in Q3, and we feel really good in terms of the impact on both lowering average price as well as improving pickup times. And so that's an area we continue to focus, and we always want to get better there.
John Zimmer: On EVs, again, I feel strongly that the way we're running the fleet business gives us a really important edge. There's kind of two types of third party. You could have third-party operators, and you could have like third-party financing partners. The operations to us is super important to do well, to get right and to not pay kind of a middle person extra fees. And so that's what I mean when I talk about first party. There's lots of smart ways to finance it with third parties, which I think we're going to get better and better at, then we're exploring lots of different options to do that so that it doesn't burden us. But operationally, to win the transition to EVs, doing that in a first-party way in key markets and then getting national coverage through third parties, we believe is the right way to do it.
Brian Roberts: And the only -- sorry, this is Brian. The only other thing I would add, as we look at total CapEx for 2021, we now expect it will be lower than 2020.
Itay Michaeli: Got it. Lower, thanks. It’s very helpful.
Operator: For our next question, we have Brent Thill from Jefferies. Brent your line is open.
Brent Thill: Thanks. Just a question around pricing. I know you've been investing trying to get ride times shorter and pricing down. Can you just give us just a general sense of where you stand on that and how you expect that to play out in the next couple of quarters?
Brian Roberts: I just shared why there's many reasons why it's really difficult to look at sort of average price. I do think, again, when you look at where we were in Q3 -- what's interesting is if you look at our revenue, we're actually only 15% off our all-time high quarterly revenue with rides down more than 35% from our peak. And in Q4, if you look at our outlook, I think it's around 8% off our peak. So we're doing a really good job in terms of monetization. But again, in general, it's -- volume really matters in rideshare. And so maybe at the risk of repeating myself, this extra volume that we expected the recovery helps us leverage fixed costs within cost of revenue. Unlike our competitor, we include depreciation within cost of revenue. They put it in a different category. And so it does provide significant leverage for us. Hosting is also one where there's a lot of -- there's significant ability to leverage hosting costs with volume. It's not a one-for-one relationship with ride volume. And then one of the areas that we've decided and we're certainly leading the industry on is around transaction processing. And one of the programs, and if you use Lyft, you'll see this, we're doing aggregated billing, where we're actually -- we send your receipt each time, but we're billing your credit card once every 24 hours. And so as ride volume comes back, there is just that ride frequency ticks up. And most people when they're using ridesharing, they'll use Lyft and they're going to a party, and then they're coming home. They're going to the office, they're coming home. And these round trips add up, and so this provides a lot in terms of our contribution. There is some definite leverage there. And then finally, I don't think we talk about it enough, we have one of the preeminent teams, if not the most preeminent team on marketplace when you look across the industry. And so what they're driving in terms of improvement on monetization, both in terms of revenue and driving down variable costs, should also help contribution. So as I said, we expect to exit the pandemic structurally more profitable provide than we were going in.
Brent Thill: Great, thanks Brian.
Operator: For our next question, we have Steven Fox from Fox Advisors. Steven, your line is open.
Steven Fox: Thanks. Good afternoon. Just a follow-up on that last point. I just had a clarification and then a question. One, just to be clear, you said that you dropped down about $0.60 of EBITDA for every dollar of revenue growth. And then you said increasing leverage into next year. Does that mean you're saying that, that drop-down ratio can improve? And then for a question, I was just curious, like you laid out a lot of obvious leverage options you can pull on. Where does mix factor into your leverage thinking next year and maybe longer term? Thanks.
Brian Roberts: Sure. So let me talk about leverage, and then I may hand off to talk about mix. But when we look at Q4, we expect to increase our take rate and generate contribution leverage. So despite seasonality, we expect contribution margin leverage will be nearly $0.55 on each incremental dollar of revenue. And if you normalize for the Q3 remarketing gains, the leverage is $0.65 on the dollar in Q4, which is an increase from Q3. Q3 was $0.62. And this is inclusive of the $20 million sequential decline in quarterly bike and scooter revenue, which obviously creates a headwind to contribution. And it's probably worth calling out, despite this headwind, the midpoint of our outlook implies contribution will reach an all-time record, all time, in absolute dollars in Q4. In terms of just as we -- again, we're not providing an outlook on 2022 at this point, but we do expect all of our modes to be back next year. And I think, again, to John's point, we're always -- we want to make sure we have the right product at the right time for the right user. And it changes throughout a day, throughout a week, throughout a month and as folks travel. And so again, we're really excited because, again, some of these other modes help us attract and really increase the addressable market for us.
Steven Fox: Great, that’s really helpful.
Logan Green: Thank you. All right. Thanks so much, everybody. That is time, and we look forward to talking with everybody next quarter. Have a great evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.